Operator: Ladies and gentlemen, thank you for standing by. And welcome to the On Assignment Second Quarter 2015 Earnings Call. At this time, phone lines are in a listen-only mode. We will have an opportunity for question-and-answer session with those instructions given at that time. [Operator Instructions] And as a reminder, today’s conference is being recorded. At this time, I’ll turn the conference over to company’s CFO, Ed Pierce. Please go ahead.
Edward Pierce: Thank you. Good afternoon and thank you for your time today. Before we get started I’d like to remind everyone that our presentation contains forward-looking statements, representing our current judgment of what the future holds. Although, we believe these statements are reasonable, they are subject to risks and uncertainties, and our actual results could differ materially from those statements. Some of these risks and uncertainties are described in today’s press release and in our SEC filings. We do not assume the obligation to update statements made on this call. I would now like to introduce Peter Dameris, our CEO and President, who will provide an overview of our results for the quarter. Peter?
Peter Dameris: Thank you, Ed. Good afternoon. I would like to welcome everyone to the On Assignment 2015 second quarter earnings conference call. With Ed and me today are Rand Blazer, President of Apex Systems; Ted Hanson, President of Lab Support; and Mike McGowan, Chief Operating Officer of On Assignment and President of Oxford Global Resources. During our call today, I will give a review of the markets we serve and our operational highlights, followed by a discussion of our performance of our operating segments by Rand and Mike. We’ll then turn the call over to Ed for a more detailed review of our - and discussion of our second quarter results and our estimates for the third quarter of 2015. We will then open the call up for questions. Now, on to the second quarter results. Revenues from continuing operations in the second quarter were $485.3 million, up 11.7% year-over-year, 12.8% on a constant currency basis. Revenues, excluding the contribution of $21.8 million from acquisitions, were up 6.7% to $463.5 million and up 7.8% to $468.1 million on a constant currency basis. For the second quarter, adjusted income from continuing operations, adjusted EBITDA, and conversion of gross profit to adjusted EBITDA results were within the guidance range we provided in the first quarter earnings press release. Revenues generated outside the United States were $22.3 million or 4.6% of consolidated revenues in the second quarter, versus $19.8 million or 4.6% in the second quarter of 2014. Adjusted EBITDA from continuing operations was $56 million or 11.5% of revenues, up from $51.2 million or 11.8% of revenues in the second quarter of 2014 on an as reported basis. Adjusted EBITDA excluding the contribution of $4.9 million from Creative Circle was $51.1 million and within our previously announced financial estimates. Excluding the contribution from Creative Circle our results adjusted mainly for acquisition-related costs and the write off of loan cost from our old credit facility were at or above the high-end of our previously announced financial estimates for the quarter. As a reminder, on June 5, 2015, we completed the purchase of Creative Circle, one of the largest digital creative staffing firms in North America. Creative Circle contributed $19.6 million in revenue and $4.9 million of adjusted EBITDA to our reported second quarter results. This contribution was not originally contemplated in our second quarter guidance. Ed will walk you through the financial contribution included in our earnings press release that pertains to Creative Circle for comparative purposes later in the call. Revenues in our local and mid market accounts grew double-digits with the large account customer base growing at slower rate. After several quarters of declining growth rates, the second quarter marked the return of accelerating growth rates for our company. We believe, based on current performance that this growth trend will continue. Our IT business continues to grow above published industry growth rates and we continue to see positive demand from our customers and a continuing adoption of staff augmentation as a viable alternative to outsourcing, offshoring and consulting. In addition, we believe the ongoing debate regarding the on-demand workforce for gig economy is accelerating the usage of contract labor. Fractionalization of human capital by using the staffing industry services is the only way to truly avoid the risk of misclassification of employees as independent contractors. Our customers have and are realizing this, and that is why we believe that secular growth opportunities for the entire professional staffing industry are so attractive. Exiting the quarter, we feel we are well positioned to continue to accelerate our revenue growth, integration, coordination and cash generation related to our acquisitions continues to be at or above our expectations. Our current leverage ratio is 3.51 times trailing 12-month adjusted EBITDA. Since the closing of the Creative Circle acquisition, we have voluntarily prepaid $25 million of our debt and we expect to voluntarily pay down an additional $25 million by the end of this month, July. During the quarter, we saw year-over-year growth in our U.S. divisions, our weekly assignment revenues, which exclude conversion, billable expenses and direct placement revenues, averaged $39.3 million for the last two weeks, up 26% over the same period in 2014. Excluding the contribution from Creative Circle revenues were up 10.2% over the same period in 2014. In closing, as you all know, we successfully closed the Creative Circle acquisition on June 5. This was about four weeks earlier than we originally expected. Coordination and education of offering awareness is proceeding nicely. I will now turn the call over to Rand, President of Apex Systems, who will review the operations in this segment. Rand?
Randolph Blazer: Great. Thank you, Peter. The Apex segment now consists of the Apex, U.S. Lab Support and Creative Circle business units. The segment grew revenues to $338.7 million for the 13.7% growth rate in Q2 of 2015 over Q2 of 2014 on an as reported basis. Creative Circle, which was acquired on June 5, 2015, added $19.6 million to Q2 segment revenues which Peter has mentioned already since the effective date of the acquisition and will be included in our reported segment results going forward. Excluding contributions from Creative Circle, the segment posted revenues of $319.1 million with a 7.1% growth rate for Q2 2015 over Q2 of 2014, which is an acceleration of our growth rate over the first quarter of 2015. Segment gross margin for the quarter was 28.8%. Excluding Creative Circle, Apex and Lab Support reported gross margin of 27.9%, down 56 basis points on a year-over-year basis, but up 80 basis points from Q1 of 2015. Apex segment contributions in terms of divisional EBITDA remains strong with solid conversion in this segment despite the surge in our field headcount added in the business. Apex’s segment growth was strongest in our business services, telecommunications, technology, digital creative and local branch accounts with double-digit revenue growth year-over-year in Q2 2015 versus Q2 of 2014 for accounts in those areas. Growth in our financial and particularly our major money center bank accounts and government service accounts continued to post negative revenue growth over the same period of Q2 2014. Nonetheless, despite the lack of growth from these accounts in these markets, our overall year-over-year growth rate did show re-acceleration over the last quarter, as I previously mentioned. This improvement in revenue growth was achieved by ongoing work to continue service to broader set of accounts as we expand our overall account portfolio. As we see improvement in IT spend in select top accounts, particularly in the financial and government services industries, we expect to see further increase in our revenue growth prospects. With that, I’ll turn it over to Mike to discuss Oxford segment.
Michael McGowan: Good. Thanks, Rand. The Oxford segment includes Oxford International, Oxford Healthcare Technology, CyberCoders, and starting this quarter, Life Sciences Europe. The Oxford segment had revenues of $146.6 million for the second quarter of 2015, a 7.4% increase over the second quarter of 2014, and 8.0% sequential increase over the first quarter of 2015. On a constant currency basis with consideration for the strengthening US dollar against the euro, the year-over-year growth was 10.7%. Second quarter results include revenue contribution of $2.2 million from a small life sciences staffing business in the Netherlands, which was acquired during the quarter. Revenues excluding the contribution of this acquisition were up 5.8% over the second quarter of 2014 to $144.4 million and up 9.1% to $140 million on a constant currency basis. Gross margin for the quarter was 41.5% compared to 41.9% for the second quarter of 2014, decreasing only slightly due to competitive pressures, business mix issues and our ongoing focus on larger accounts. Our temp staffing service revenues for the second quarter of 2015 were $124.2 million, a 4.3% increase over the second quarter of 2014 and 8.2% on a constant currency basis. Excluding the contribution of the $2.2 million from the acquisition I just mentioned, revenues were $122.1 million, a 2.5% increase over last year and 6.3% on a constant currency basis. Our permanent placement services revenues grew 28.4% year-over-year to $22.4 million. CyberCoders accounted for 93% of the total and was up 28% year-over-year for their best quarter on record. Oxford’s European revenues accounted for $21.2 million or 14.5% of segment revenues in the second quarter versus $19.4 million or 14.2% in the second quarter 2014. European revenues were up 32.8% year-over-year on a constant currency basis. Our revenue growth for the second quarter was the result of growth in our key accounts, our focus on assigning individual consultants with our targeted skill disciplines, increased demand for EMR implementation and optimization projects, and strong perm placement activities. We anticipate this growth to continue into the third quarter, although somewhat tempered by summer vacation and holiday schedules across the U.S. and Europe. Ed, now over to you.
Edward Pierce: Thanks, Mike. Before reviewing the financial results for the quarter, I’d like to bring four items to your attention. First, we acquired two businesses during the quarter, Creative Circle and a small life sciences business in Europe. The operating results of those businesses are included in our consolidated results from the date of acquisition through the end of the quarter. The revenue contribution from these acquisitions totaled $21.8 million. Secondly, our previously announced financial estimates did not include Creative Circle. Consequently in order to see how we perform relative to our previously announced financial estimates, I’m going to also comment on our results that have been adjusted to exclude Creative Circle. Thirdly, we reconfigured our operating segments as a result of operational changes that occurred during the quarter, instead of three operating segments. We now have two, Apex and Oxford. Our life-sciences Europe business, which previously was a separate operating segment is now included in our Oxford segment. We restated our historical operating and statistical data to reflect this change and that data is included in tables in our press release. With respect to Creative Circle, it is included in our Apex segment. And fourthly, we referenced constant currency revenues and growth rates in our press release and our prepared remarks. Constant currency amounts for the quarter were calculated using the foreign exchange rates for the second quarter last year. Now, I’m going to review the financial results for the quarter. On a reported basis revenues for the quarter were $485.3 million, up 11.7% year-over-year. On a constant currency basis, revenues were $4.6 million higher than reported revenues and totaled $489.9 million. On a constant currency basis, revenues were up 12.8% year-over-year. Excluding the contribution from the two acquisitions, two businesses acquired during the quarter, revenues were $463.5 million, up 6.7% year-over-year, and above the high-end of our estimates for the quarter. On a constant currency basis and excluding the contribution from acquisitions during the quarter, revenues were $468.1 million, up 7.8% year-over-year. On a reported basis, our contract revenues were $456.6 million, up from $413 million in the second quarter last year. Our direct hire and conversion revenues were $28.7 million, up from $21.5 million in the second quarter of 2014. Our direct hire and conversion revenues accounted for 5.9% of total revenues, up from 4.9% of total revenues in Q2 of last year. CyberCoders accounted for 20.9 of our perm revenues or 72.6% of the total, and Creative Circle accounted for $1.5 million. Our gross margin for the quarter was 32.7%, same as the second quarter of 2014. Excluding the contribution from Creative Circle, our gross margin was 32.2%, down 50 basis points year-over-year. The compression and margin was primarily related to the change in business mix and higher growth in pay rates relative to bill rates. SG&A expenses were $118.9 million or 24.5% of revenues, compared with $99.6 million or 22.9% of revenues in the second quarter of 2014. SG&A for the quarter included $6.9 million in acquisition, integration and strategic planning expenses, also which related to the Creative Circle acquisition, $4 million in SG&A from Creative Circle and $0.5 million related to the write-off of an IT application. SG&A also included the expense related to our hiring search. Excluding Creative Circle, the average number of staff consultants and recruiters for the quarter was 1,990, up from 1,670 in the second quarter of 2014. Adjusted income from continuing operations for the quarter was $32.3 million or $0.61 per diluted share. Excluding the contribution from Creative Circle adjusted income from continuing operations was $28.8 million or $0.55 per diluted share and close to the high-end of our financial estimates. Please note that the calculation of adjusted earnings per diluted share can be found in our press release. Adjusted EBITDA on a reported basis was $56 million or 11.5% of revenues. Excluding the $4.9 million contribution from Creative adjusted EBITDA was $51.1 million, which was also close to the high-end of our financial estimates. Our income from continuing operations was also within our financial estimates after considering the acquisition and integration expenses of $6.9 million and the $3.8 million write-off of loan costs related to our debt refinancing. Cash flows from operating activities were $32.5 million and capital expenditures were $5.3 million. Free cash flow for the quarter was $27.2 million. Turning to our individual operating segments, Our Apex segment accounted for 69.8% of total revenues, Apex’s revenues which includes Creative Circle were $338.7 million, up 13.7% year-over-year. Excluding Creative Circle, Apex’s revenues were up 7.1% year-over-year. Apex’s gross margin for the quarter was 28.8%, up 40 basis points from Q2 of last year. Excluding Creative, Apex’s gross margin was 27.9% compared with 28.4% in the second quarter last year. Our Oxford segment accounted for 30.2% of total revenues. Oxford’s revenues for the quarter were $146.6 million, up 7.4% year-over-year, and up 10.7% on a constant currency basis. Excluding the revenue contribution of the acquired business, Oxford’s revenues were $144.4 million, up 9.1% on a constant currency basis. Oxford’s gross margin for the quarter was 41.5%, down 40 basis points year-over-year. The closing of the Creative Circle acquisition, our funded debt was $875 million and subsequent to closing, we voluntarily we paid $25 million. At quarter-end, our bank indebtedness was $850 million, and our leverage ratio, which is total indebtedness to trailing 12-month adjusted EBITDA was 3.51. Now turning to our financial estimates for the third quarter of 2015, we estimate revenues of $550 million to $555 million, adjusted income per diluted share of $0.74 to $0.77, and adjusted EBITDA of $69 million to $71.5 million. These estimates do not include any acquisition, integration, or strategic planning costs. Our estimates assume consolidated revenue growth of approximately 8.5%, before the contribution from our Q2 acquisitions and 9.4% growth on a pro forma basis. Pro forma growth rates assume the acquisitions occurred at the beginning of 2014. By operating segment, we are estimating pro forma growth of approximately 9.5% for Apex and 8.9% for Oxford. These growth rates are higher than the year-over-year growth rates for the preceding quarters. Let’s turn it back over to Peter.
Peter Dameris: Thank you, Ed. We continue to believe that we’re well-positioned to take advantage of what we believe will be historical secular growth rates for the entire staffing industry and dynamic changes in the technology world, as we move forward into a more digital one. While the entire On Assignment team is very proud of our performance, we remain focused on continuing to profitably grow our business and increase our growth rates. I would like to, once again, thank our many loyal, dedicated, and talented employees, whose efforts have allowed us to progress to where we are today. I’d like to now open the call to participants for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question today will come from the line of Tobey Sommer. Please go ahead
Tobey Sommer: Thank you. I want to ask a question about the reaccelerated top line. To what extent do you ascribe that to increase in market demand, or perhaps conversely the ramping of productivity of the new hires, both recruiters and sales people that you’ve made in recent quarters?
Peter Dameris: Yes. So speaking broadly, both for Apex and for Oxford, it’s - Tobey, it’s really just hard work in broadening our customer base, taking advantage where there is accelerated spend, as Rand spoke up in some of our non-major money-center bank customers. And really was held back by the fact that we still are seeing slightly negative growth year-over-year from the big banks and from government services. And we believe that will change, as it always does, and we are closer to that inflection point, but we still haven’t seen it. As you can see from the numbers we reported today, we’ve hired a number of people. The end of the third quarter is really the defining point to see what kind of return we’re going to get from those people, but we are starting to see some early signs, because we’ve seen a reacceleration of revenue.
Tobey Sommer: Right. In terms of the pricing environment, I was wondering, what you are seeing for bill rates and bill pay spreads?
Peter Dameris: Yes. We made a conscious decision in the first six months of the year that we were going to be a little more receptive to certain pricing discussions than we had in the past, while some of our customers have been frozen in their spending, and it was reflected in the numbers, although they were above industry standards. They were a little bit of a compression year-over-year, that was a conscious decision, a controlled decision. And we think - as we get to anniversaries on rate cards that some of the bill pay compression we’ve seen in certain select accounts will dissipate. But the market is the market right now, it’s not bad. It’s not rip roaring good with regard to pricing conversations and it’s competitive. And we’re kind of weaving ourselves in there strategically and thoughtfully and we think that should - that wind should lessen a little bit, as we move through the year.
Tobey Sommer: Okay. And my last question, I’ll get back in the queue. If I were to look at kind of staffing gross margins from 2Q into your guidance for 3Q, what might those look like? Would there be a little bit of compression sequentially, or would they be relatively stable?
Peter Dameris: Q3 to Q2?
Tobey Sommer: Q2 to Q3. Just wondering what underneath…
Peter Dameris: They’re pretty stable. And we broke out, I think, what happened in the quarter. But we are starting, especially on the Oxford side, we are starting to see the bill pay spread move back up. And that’s where we would expect to see it occur first for a variety of reasons. There are a lot more pricing discussions that occur every day and they work as much off of a rate card.
Tobey Sommer: Okay. Is there an area, Mike, in which you’re kind of seeing your heat map pick up, if you can mention it, I understand that you might not wanted for competitive reasons?
Michael McGowan: No, I mean, I think, as Peter said, it’s really been across the board. I think, as you know, we opened the door last year to be a little bit more flexible in terms of our market percentage and we’re starting to tighten that down a little bit across all of our disciplines and we’re seeing positive response across all of our disciplines from our clients.
Tobey Sommer: Okay. Thank you very much.
Operator: Next we’ll go to the line of Edward Casal [ph].
Unidentified Analyst: Hi, thank you. I’m just curious, you sort of rolled everything up into two groups here, but are you really managing them in far more groups than that? Is this just torturous from a model perspective having to change it, or I mean, how are you actually running the business? Thanks.
Peter Dameris: Yes, I mean, we get granular detail, but this is how the business going to be managed on a go-forward basis.
Unidentified Analyst: And just sort of understanding your commitment to Europe, I thought you were sort of bias to the U.S. and sort of surprised that you did a European acquisition?
Peter Dameris: Yes. So it’s, as we say in Texas, it’s small, it’s very small. But it was an ability to become the dominant scientific staffing firm in the Netherlands, which is a very socialistic, regulated labor environment, which makes it a very productive staffing market to serve. And we were able to fold the two together and get scale and further consolidation and it just - it was de minimis. It was, I mean, was it $10 million in total revenue?
Edward Pierce: Less than that.
Peter Dameris: Less than $10 million in total revenue for the little acquisition. So we’re thoughtful. I don’t think, Ed, you should feel like, we have switched from what we said at our Analyst Day that we’re primarily focused domestically and there is so much opportunity here on tap for us, that this was just a thoughtful, easy thing to do to strengthen the positioning of our scientific staffing group in the Netherlands.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. Our next question will come from the line of Sara Gubins. Please go ahead.
Sara Gubins: Hi, thanks. Good afternoon. What was the timing of when you started to get a bit more aggressive on pricing?
Peter Dameris: Yes, it was late. It was kind of late 2014 and kind of the first part of 2015, Sara. And it has to do some with rate cards on the Oxford side, on the onesie-twosie business, as spending levels were a little bit compressed to be a little more receptive. But it wasn’t a wholesale change, it was just more strategically reactive account by account.
Sara Gubins: Okay. And it wasn’t Apex, it was more Oxford?
Peter Dameris: It was both.
Sara Gubins: Okay. Could you talk about the kinds of projects where you’re seeing strengths or weakens in Oxford and Apex, as opposed to type of client?
Peter Dameris: Well, beyond what we said in our prepared remarks, the industries that we are seeing, of course, on the local mid-market accounts we are seeing pretty robust growth. In our major money-center banks and government services, we are seeing kind of a small year-over-year negative growth rate. And then where we are seeing the best spend is in the business services, telecommunications, digital, creative. And then for Oxford, we are continuing to see their core business of, kind of higher-end business analytics regulatory affairs, and then ERP implementation do well.
Sara Gubins: Great. And then just last, could you help us think about what you are expecting from Creative Circle in the third quarter? And will you continue to break that out for a bit until we lap the acquisition?
Peter Dameris: Yes, we’re not - I don’t think we are breaking out the revenues. Are we, Ed, outside the segment?
Edward Pierce: No. Going forward, we won’t. But as it relates just to the near-term Q3, it will probably be approximately $70 million contribution from Creative.
Sara Gubins: Okay. Thank you.
Operator: We’ll go to the line of George Tong. Please go ahead.
George Tong: Hi, good afternoon. Can you discuss what indications help give you confidence for a closer to an inflection point in money center IT spending, and what expectations you’re being Incorporated into your guidance?
Peter Dameris: Well, Rand, let me make just a generic comment and then you can add. I don’t think we really have embedded anything in our expectations unless the work has actually been rewarded and let released. But we are having a lot more conversations about projects that they are contemplating and closer to releasing than we had previously. And Rand has visited with the key decision makers of two of the larger banks and can give you some color. Rand?
Randolph Blazer: I think it’s what you said, Peter. I think it’s really when do they intend to spend and they have their own earnings numbers to hit and they have certain initiatives. And I think we said on this call, in previous quarters, that some of these banks went through major mergers and that work has kind of passed, now they have to consolidate infrastructure, and with that comes opportunity. When the banks decide to let go or move forward on those initiatives, is their decision, of course. We want them to know we’ll be right there with them to help them.
George Tong: Got it. And can you elaborate on the gross margins this quarter, down slightly in Oxford and Apex, if you exclude Creative Circle, and why you think gross margins can begin to tick back up as you move forward throughout 2015?
Peter Dameris: Yes, George, just - as we previously said, some of it is just anniversarying some rate cards. Some of it is a conscious decision on the kind of a onesie-twosie business, to just go ahead and start pricing it differently, and the receptiveness we’ve received from the customers in through those conversations.
George Tong: Got it. And then, I guess, last question for me. How do you think about potential cost synergies that Creative Circle might contribute to the business?
Peter Dameris: So, as we said when we announced the transaction, the accretiveness of the transaction, the strategy of doing the deal were not based on cost synergies. And we’ll be thoughtful about it, but that’s not the primary focus of why we came together.
George Tong: Thank you.
Operator: Next, we’ll go to the line of Jeff Silber. Please go ahead.
Jeffrey Silber: Thank you so much. When you announced the Creative Circle acquisition, I believe in May, you had a slide in your presentation with estimated pro forma results for the current year. And I’m just wondering, if you’re still comfortable with that outlook?
Peter Dameris: For the second-half of the year?
Jeffrey Silber: Second-half of the year, correct.
Peter Dameris: Yes, I think so.
Jeffrey Silber: Okay.
Peter Dameris: So I think the guidance implies sequential growth in the fourth quarter and we’re fine with it, Jeff.
Jeffrey Silber: Okay, good to hear. And then just, I apologize, this may be a stupid question, but I’m asking about the segmentation, because you had mentioned to a previous question that you’re actually running your business based on these segments. Why is the Creative Circle division now part of Apex, why not part of Oxford? Are you going to be trying to sell it with Apex? And the same thing with the sciences business, you’ve got the Life Sciences European business in Oxford, I think, you’ve got the U.S. Lab Support business in Apex, I’m trying to understand the rationale between the different segments?
Peter Dameris: Right, so the cross-selling and the sharing of customers is probably greatest between Apex and Creative, and trying to get on one another’s vendor customer list. Apex, because they tend to do more large number of placements per account, can help more there and they are seeing it in their business, as they speak, and they’ve been subcontracting some of that work to Creative Circle competitors. As it relates to why Lab Support Europe, the gentleman who runs our Oxford European operation is overseeing the Lab Support Europe business and the vast majority of our revenues, almost all of our revenues at this point in Europe are under his supervision and control. And they tend to be more broad spread and smaller penetration per account, and it fits well with their business model.
Jeffrey Silber: Okay, got it. Thanks so much.
Operator: We’ll now go to the line of Gary Bisbee. Please go ahead.
Gary Bisbee: Hi, guys. Good afternoon. I heard all of the comments on pricing. What about the pay rate side of it? Has that changed much, or is the gross margin compression more a factor of the pricing than any escalating pay rate?
Peter Dameris: What I would say to that, Gary, is it’s been more just kind of resistance from the customer at this point. On some of the larger customers, there’s a sensitivity and an awareness that there’s wage inflation, but as you’ve heard us to say time and time again, if you close to an anniversary, they say we understand the pressure you’re under, but let’s just wait a little bit and do it in connection with the renewal of the rate card.
Gary Bisbee: Right.
Peter Dameris: So I think some of it is just looking at work that we would’ve ordinarily maybe not have accepted and it is move in the right direction. Go ahead, Rand.
Randolph Blazer: Peter, can I add something to this? Gary, listen. There are pricing pressures both on the bill rate and, of course, when we have that we move it to the pay rate and we move the pay rates down where we can. And it really is a function of the skill types we’re looking at and the availability of that skill, as well as the different kinds of clients and accounts in different markets. So, we’ve said, on this call before, that certain skill types have higher gross margin, have higher markups and higher bill rate, pay rate differentials in certain kind of accounts in certain industries, mid-market versus a large account, have different kinds of profiles. So depending on the portfolio of business and the kind of work we’re doing for those clients, there can be movement in our markups and our gross margin rate that has nothing to do with the price pressure it has do to with the nature of the work that we’re supporting and that’s what you see going on, I’m sure, both in Oxford and Apex.
Gary Bisbee: Okay, great. And then, just to continue on that theme. Are you having any more difficulty finding qualified people to fill the jobs with the right skills as the labor market tightens or is that not been an issue at all to date?
Peter Dameris: That’s not - it’s always an inhibitor to growth but I don’t think it’s any more forceful than it has been and as you’ve seen we actually accelerated our growth rate, so that would argue that we can handle the tightness.
Gary Bisbee: Okay. And then, Peter, you said in your prepared remarks at the beginning, that based on trends to date, or something like that, you expected the accelerating growth or the better growth in Q1 would continue. Any other color you could give us on the confidence in that statement and maybe what other than what you’ve said today? Thanks.
Peter Dameris: No, I mean, I would just refer you back to our prepared remarks where one, we gave you the two-week average of contract revenue growth year-over-year. And two, Ed’s comments about what the implicit growth rate is on a constant currency basis that’s embedded in the third quarter guidance, and I think that’s enough.
Gary Bisbee: Okay, fair enough. Thank you.
Operator: Thank you. We’ll go to the line of Randy Reece. Please go ahead.
Randy Reece: Hi, one technical question here. Was there any alteration in the calculation of adjusted EPS after the recent acquisitions?
Edward Pierce: Well, two things, Randy. One is that we at one time had a line item where we took out the excess of CapEx over depreciation tax affected and that became such a de minimis amount and difficult to project out, we just dropped it from the calculation. I think that had about a penny a quarter affect.
Peter Dameris: And we stopped doing that when, Ed?
Edward Pierce: Just recently.
Randy Reece: Recently meaning?
Edward Pierce: This quarter, second quarter. And, Randy, the other thing is we did update our numbers for the effects of the two acquisitions, the Life Sciences and Creative. And so the second half of the year on a quarterly basis, there is about a $32 million add-back to get to adjusted earnings that is I think roughly $0.16, $0.17 per share.
Randy Reece: Okay. And on the second hand, when it comes to recruiting internal staff, I was wondering, what kind of environment it has been like for you. And have you been able to hire people as quickly for your internal jobs as you want to?
Edward Pierce: Yes, it is getting tougher to hire, but - what, we’ve made that kind of, job one here is to make sure that we’re doing as good job - as good a job internally as we do externally. And you can see from the reported numbers that we’ve hired a lot of people on a net basis.
Randy Reece: Very good. Thank you very much.
Edward Pierce: So, Randy, I want to clarify something just so that everybody understands. I know you’re very familiar with the sort of the reconciliation of GAAP income to adjusted income, but we do have a table in our earnings release that shows the components and the numbers that I gave you, or the components, those add-backs related to the third quarter and the fourth quarter, so they’re going to be a little different than what’s presented in the earnings release because they’re going up, because we’ll have a full quarter of creative as opposed to just one month.
Randy Reece: All right.
Edward Pierce: But it’s the same kind of stuff, the amortization of the intangibles, the cash tax savings.
Peter Dameris: The same calculation, Randy, expect for the - that one time that was de minimis.
Randy Reece: Yes, it was annoying anyway. Thank you.
Operator: Thank you. We’ll now go to the line of Paul Ginocchio. Please go ahead.
Paul Ginocchio: Thanks. Hey, just some questions on Creative Circle, if I could. In that $70 million you’ve given us for the second quarter, what’s the pro forma growth rate versus the same quarter a year ago? Also, what was pro forma underlying growth rate for Creative Circle in the first quarter? And then, finally, if I do my calculations right, looks like there was a 25% EBITDA margin for Creative Circle in the second quarter, that’s obviously higher than the 21% it averaged, I think, from 2012 to 2014. Why the spike in EBITDA margins? Thanks. I’ve got one follow-up.
Edward Pierce: As it relates to the growth rates, the implied growth rate for Q3, it’s roughly, it’s going to be mid- to high-teens, and I think as it relates to Q2, it’s probably slightly higher than that, and we’re not going to comment on the adjusted EBITDA margin, but I will say it’s pretty much in line with, what we had disclosed at the Street and… [Multiple Speakers]
Peter Dameris: And the only other thing that you should train your eye to, Paul, is that in the creative world, less so the digital world, but in the creative world, there tends to be a little bit of seasonality in the summertime. Some of our large agency clients take Fridays off or have half day Fridays, so the spending pattern is slightly different than in the IT world, not necessarily for the digital, but for the pure creative, which is a percentage of their total revenue.
Paul Ginocchio: And are you guiding to a slowdown because you’re seeing a slowdown, or is that just trying to be conservative, or it’s got less visibility? Why the slight slowdown in the third quarter guide? Thanks.
Edward Pierce: Yes. Now it’s just as reflected of what we expected for the quarters, for the remainder of 2015.
Peter Dameris: It’s in line with the second half of the year guidance that we’ve already given.
Paul Ginocchio: Okay. And then maybe lastly, Peter. You’ve historically made a lot of acquisitions. I think they’ve been good. I think if you want to get credit for the good acquisitions, you probably should at least give us one year forward data on Creative Circle. Just my two sense [ph]. Thanks.
Peter Dameris: Okay, duly noted.
Operator: Thank you. [Operator Instructions] And we’ll go to line of Mark Marcon.
Mark Marcon: Just a follow-up on Creative Circle. Was the rate of growth last year about 30% or 29% in terms of Creative Circle?
Peter Dameris: No, Mark. I don’t have it on the top of my head, but it was more like 22%, 21%.
Mark Marcon: 22%, 21%?
Peter Dameris: Correct.
Mark Marcon: So and this last quarter was in the 20% range?
Edward Pierce: Correct.
Mark Marcon: Okay. And this, the mid- to high-teens, that’s?
Peter Dameris: No surprise.
Mark Marcon: Just law of larger numbers or how do we think about that?
Peter Dameris: How they planned on a quarterly basis and what we planned for the business to do as we acquired it.
Mark Marcon: Okay. And how would you think about it, going forward beyond this year? What are their potential for headcount additions internally? And what sort of gross margin did they end up seeing on a year-over-year basis.
Peter Dameris: Pretty traditional to what we told you when we did the deal, and they are impressively hiring just like the rest of the division, and I don’t know the exact number, and it’s tight.
Mark Marcon: Okay. With regards to, going to Apex, the Lab Support business. How is that doing?
Peter Dameris: Good. Yes, it had a slightly higher growth rate than the Apex segment growth rate excluding creative.
Mark Marcon: Was it up more than 7%, up 8%, 9%, 10%?
Peter Dameris: Yes, if you look at the numbers that would be correct.
Mark Marcon: Okay, great. And then, how is Oxford doing outside of CyberCoders and outside of the European Lab Support? Just the old traditional Oxford.
Peter Dameris: Yes. If you look at the prepared comments, it says Oxford’s segments, temporary staffing revenues, so that’s excluding firm, were up 8% on a constant currency basis.
Mark Marcon: And that’s a slight pickup, right?
Peter Dameris: Correct.
Mark Marcon: Okay.
Peter Dameris: And probably it was a little bit better in the U.S.
Mark Marcon: All right. And then with regards to, just going back to the traditional Apex, how big is finance and government at this point, and you didn’t mention energy, which you mentioned last quarter, so I’m just wondering if there’s any color there?
Peter Dameris: Yes, energy was only 4% or 5%, but finance at the peak was 29% and, Rand, it’s around 22%, 23%, 24% now?
Randolph Blazer: Correct. And governments in the high-teens, so together, those two were in, say, the low- to mid-40% of the business.
Mark Marcon: And have you seen a pickup in terms of retail accounts?
Peter Dameris: Yes. We said in our prepared remarks, Mark that we’re seeing double-digit growth in our local market accounts, mid-markets.
Mark Marcon: I mean, how big is that now?
Peter Dameris: Still, what 20% to 30% of the total revenues of Apex.
Randolph Blazer: Right.
Mark Marcon: Great. And then lastly, as we go forward in the year, how are you thinking about where the debt level would probably end up being? What would you anticipate for the second half of the year in terms of cash conversion?
Edward Pierce: Well, I would tell you is that, as we demonstrated in the first 45 days of ownership of Creative as of tomorrow, we will paid off $50 million of debt. We’re into generating as much cash and pay off as much debt as we can quickly.
Mark Marcon: All right, great. I’ll follow-up offline. Thanks.
Operator: We’ll go now to line of Kevin McVeigh. Please go ahead.
Kevin McVeigh: Great, thanks. Hey, can you give us an update on the sales portion initiative in terms of the percentage of hires, how many are hitting scale and how many are still on the com [ph], and will they be selling into Creative Circle as well or will that be a dedicated sales force?
Peter Dameris: Yes, I can give you more clarity about the selling of the Creative - that’s Creative continuing to maintain their dedicated sales force. We’re putting together strategies, clearinghouses and cross selling initiatives to share the customers and, as they’re giving you productivity, Kevin, I apologize, but other than what we give you in the supplemental financial information, which really is skewed because if you change the denominator and numerator, it affects the gross profit per staffing consultant. We just don’t have that data in a cleaned up fashion and on a consistent basis across segments for you to draw some clear conclusions from.
Kevin McVeigh: Understood. And then, Peter, if you said this, I apologize, but what would be the tax rate for the third quarter?
Peter Dameris: 40.9%.
Kevin McVeigh: 40.9%. Great. Thank you.
Operator: We’ll go to the line of Tim McHugh. Please go ahead.
Timothy McHugh: Yes, thanks. I just want to ask about, I guess, how kind of, I guess the cadence of the quarter progress? It sounds like the growth rate, obviously, got better and looks better even here in the last two weeks data, in terms of the 10% that you quoted. Is this something that you steadily seeing some improvement or was there a more pronounced kind of step up in the growth rate more recently or early in the quarter, I guess, just any color on how it kind of progressed?
Peter Dameris: Yes. It was more June and the phenomena that we’re seeing now is, whereas we were struggling to have accelerating revenue growth in the quarter and maybe the last month of the quarter would come if light, now we’re starting to see the last month of the quarter coming a little bit better than we expected.
Timothy McHugh: Okay. And was that true across or particular to Apex?
Peter Dameris: Yes, pretty much across.
Timothy McHugh: Okay. You talked - I think you got asked about financial services, but the government’s been the other weaker area. Are there any signs of life or actual improvement I guess that you’re seeing as you look to Q3 here in that part of the Apex business?
Peter Dameris: One more time, please, Tim. I’m sorry.
Timothy McHugh: The government vertical or channel, I guess, any signs of improvement yet?
Peter Dameris: We’re hoping that we’re starting to see early signs of thorn [ph]. I think that Leetos [ph] and Accenture are going to be announcing something tonight on a major award that we’ve partnered with. So that’s a good sign of things to come, we think. But, yes, it kind of feels a little more rationale today than it did six months ago.
Timothy McHugh: Okay. And, I apologize, I jumped between some calls here, but the new sales staff in Apex, I guess in particular, that you added in the last year. How are they ramping relative to the typical ramp? I mean, is it in line and we’re just seeing - starting to see that inflection point here in Q3, where they’re productive or are they better or worse than you would expect?
Peter Dameris: Well, Rand, why don’t you take a stab at that? We were talking about that before the call and you have to kind of break it out between existing and new hires and also major accounts versus small accounts. But, Rand, you want to address that.
Randolph Blazer: Yes, we do track, Tim, the performance of the new hires, the surge. Most of them now are nine months into the business, six to nine months in. They are tracking very consistently with what our normal ramp up is for normal account managers, plus our existing account manager force, which is the bigger force, is also trending up as we’ve gone through the quarter. So, everything is in line is what I would say.
Timothy McHugh: Okay. Thank you.
Operator: Thank you, speakers. At this time there are no further questions in queue.
Peter Dameris: Right. Well, we appreciate your time and attention and if you have any follow-up questions, please contact us. Thanks.
Operator: Thank you. With that ladies and gentlemen, that does conclude our conference for today. We thank you for your participation and for using the AT&T Executive Teleconference. You may now disconnect.